Operator: Ladies and gentlemen, thank you for standing by and welcometo the Q3 Earnings Conference Call. At this time all participants are in alisten-only mode. Later we will conduct a question and answer session.Instructions will be given at that time (Operator Instructions). I would now like to turn the conference over to Mr. JeffDodge. Please go ahead, sir.
Jeff Dodge: Good morning and welcome to today's conference call. I'mJeff Dodge, Investor Relations and with me today are Rick Smith, our Chairmanand Chief Executive Officer, Lee Adrean, Chief Financial Officer and NualaKing, Corporate Controller. Today's call is being recorded. An archive of the recordingwill be available later today on our website at www.equifax.com. During thiscall, we will be making certain forward-looking statements to help youunderstand Equifax and its business environment. These statements involve a number of risks and uncertaintiesand other factors that could cause actual results to differ materially from ourexpectations. Certain risk factors inherent in our business are set forth infilings with the SEC including our 2007 Form 10-K -- or 2006 Form 10-K andsubsequent filings. You should also reference the risk factors included in TALXCorporations March 31 2006, Form 10-K and June 30 2006, Form 10-Q. I would also like to point out that the company's use ofnon-GAAP financial measures including diluted earnings per share adjusted toexclude acquisition related amortization expense and certain 2006 legal and taxmatters a measure, we call adjusted EPS. And operating income, operating margin and net incomeadjusted to exclude the impact of the 2006 legal and tax matters are explainedin our earnings release and a full reconciliation between each of the non-GAAPmeasures and the corresponding GAAP measure is provided in the tablesaccompanying the press release and in our GAAP, non-GAAP reconciliations foundon the investor center on our website. Now I'd like to turn it over to Rick.
Rick Smith: Thanks, Jeff. Good morning everyone. Thanks for joining usthis morning. Our performance this quarter is attributed to the diversificationof our business mix and also the strategic initiatives that we launched lastyear that are gaining some solid traction for us. And we will walk through someof those throughout the presentation this morning. Total revenue $492.5 million, up 25% over 2006, ourInternational, North American Personal Solutions and North American Commercialbusinesses, again, delivered strong double-digit revenue growth. U.S. Consumer Information Solutions was down 1%year-on-year, driven primarily by the Mortgage Activity and Marketing Services.The Core Online business was up 1% for the quarter and TALX delivered $70.4million in revenue. Operating Income was $129.2 million, up 7% and adjustedoperating income increased 12%. Diluted EPS was $0.48, down from $0.61 in 2006.2006 included $0.10 benefit, related to the favorable impact of the 2006 taxand litigation matters mentioned in our opening comments. Adjusted EPS was $0.58, up 5%. For the year-to-date, totalrevenue was $1.4 billion, up 17%. TALX contributed 9 points of that growth. Again,year-to-date, diluted EPS was $1.53, down 6% and adjusted EPS was $1.73, up 8%. Based on our year-to-date performance and market trends, weexpect revenue growth for the full year to be approximately 19% and adjustedEPS to be between $2.28 a share and $2.32 a share versus the guidance we gaveyou in June of $2.25 to $2.33 a share. I'll go through some of the specific highlights now bybusinesses. First in the U.S. Consumer Information Solutions business, theycontinue to address customer needs; for effective decisioning tools, formanaging risk and cross-selling their existing customer base. Online Consumer Information Solutions grew 1% with theironline transaction volume up 5%. Regional Teleco customers contributedsignificantly to this growth; while, our largest national accounts were downslightly. We ended the quarter with 29% of our Online transactionsdelivered through one off our platforms, a decisioning platform during theperiod, up from 27% for the same period last year. Through September, 16% ofour Online transaction volume included scores for models built by Equifax, thiscompares to approximately 13% for all of 2006. In Credit Marketing over 33% of names listed included ascore from Equifax model. Mortgage Reporting was down 3% for the quarter. OurSettlement Services venture continues to gain transaction in the marketplace.As you will recall that was a new product we launched in late 2005, 2006. Credit Marketing Services revenue declined 6% for thequarter as customers continue to focus more on managing their existingcustomers for risk and revenue growth versus acquiring new customers. Direct Marketing Services revenue was down 1% compared tothe third quarter of 2006, but up 3% from second quarter of this year as westarted to benefit from the integration of our DMS Data Assets into Solutionsfor a Traditional Financial Institution Clients. North American Commercial Solutions continued to deliveroutstanding performance with revenue growth of 45%. Our U.S. CommercialDatabase continues to add depth and breadth to its files. As of the end ofSeptember over 20% have four or more relationships with members of the smallbusiness financial exchange, and over 75% of the business folders contained atleast one financial account and one trade account. Over 80% of these folder had at least 2 accounts while over49% of the folders contain at least 5 different accounts. We also signed athree-year, multi-million dollar contract with the Fortune 500 Company for aGlobal Enterprise Wide Data Integration Solution that facilitates a single viewof their prospects and existing customers leveraging the Unique King andmatching technology of our Austin-Tetra assets. North American personal solutions has continued to doexecute on its strategy and deliver outstanding financial performance,delivering revenue growth of 19%. Revenue generated through direct responseactivities was up 25%, while revenue through our call center was up 17% for thequarter. Approximately, 71% of revenue during the quarter wassubscription based up from 61% in third quarter 2006. Subscription customersgrew to $1.4 million by end of the quarter up from $1.2 million in the secondquarter of 2007. As evidenced by our consistent performance during the pastfew quarters, we have clearly refocused our business model to deliver moreconsistent growth and profitability in our Personal Solutions business. Next, International, international revenue growth was drivenprimarily by our high value-added solutions including Enabling Technologies,Predictive Sciences and Marketing Services. Europe grew revenue by 20% in thequarter as Core Information Services in both the United Kingdom and Iberiaexperienced strong volume gains. Revenue growth in local currency for the quarter was 11%. U.K.’sCore Consumer volume was up 27% with volume from the top 20 customers up 23%.Growth from the top 20 was broad based including banks, retailers andgovernment. Utilities and debt collection customers were the principal driversfor growth with our small regionally based customers. Latin American revenuegrew 16%, 9% in local currency. With Enabling Technologies, Predictive Sciences andMarketing Services all growing double-digits, 5 of our 6 countries deliveredstrong double-digit revenue growth. Marketing Services, Analytics and EnablingTechnologies represented 30% of international revenue in third quarter, up from27% in third quarter of 2006. Canada consumer revenue was $28.2 million, up 14%, 6% inlocal currency, as new pricing initiatives were implemented from MarketingServices, were implemented and Marketing Services continued its strongperformance from the second quarter of 2007. Finally in international, last week we closed theacquisition of the number two credit reporting company in Peru. This continuedour focus on completing strategic tuck-in acquisitions to strengthen andsolidify our Latin American franchise. Last TALX, TALX's revenue grew 7% to $70.4 million whencompared to the same period in 2006. The Work Number grew 14% while addingalmost $6.6 million total records to the database during the quarter, twice ourtarget objective. We now have 45.3 million active and 158.9 million totalrecords in that database, an outstanding quarter for the Work Number. Wecurrently have 8 million total records in backlog, which is down from 10million records in the second quarter of 2007. We are making great progress on integration, EID Verifier,one of our Enabling Technology platforms used for ID verifications is beingimplement to enhance the securities customers access to the Work Number andTALX will soon be assessing our commercial database for credentialing newemployment and income verifiers. Revenue synergies, today customers will be able to accessthe Work Number via ePort, our Internet based enabled distribution portal,which is used by many customers today for a credit-based solutions. And we are going to talk a lot more, Bill will specificallyabout the synergies as will I when we are together this Friday in New York atthe Investor Conference. I will now turn it over to Lee for more financial details.
Lee Andrean: Thank you, Rick and good morning everyone. This morning allfinancial information I will be discussing will be presented on a GAAP basisexcept as otherwise noted. You should also refer to the Q&A, which isattached to our earnings press release for additional financial information. For the quarter, consolidated revenue was $492.5 million, up25%. Operating income was $129.2 million, up 7% from 2006, which included thefavorable net impact of several litigation matters in 2006. Operating income adjusted for these matters increased 12%.Net income was $67.9 million, down 14% from 2006, which included the favorablenet impact of several litigation matters and a one-time tax benefit in 2006. Adjusted net income increased 2%. Earnings per shareadjusted for acquisition related amortization and the litigation and taxmatters noted above was $0.58, up 5% from $0.55 in the third quarter 2006. In our U.S Consumer Information Solutions business, OnlineConsumer Information Solutions revenue was $161 million, up 1% when compared tothe same quarter last year. Online volume was up 5%, driven primarily by Telcoand regional customers. Mortgage Reporting Solutions revenue of $17 million was down3% from the third quarter of 2006. Growth in our new Settlement Servicesoffering helped partially offset lower demand for traditional tri-mergemortgage credit report. Credit Marketing Services revenue of $39 million declined 6%for the quarter. Quarter-to-date our prescreening revenue, which is primarilyused for new account acquisition is down 15%. Our portfolio review products are up 5% continuing thetrends we experienced in the second quarter where financial institutionsfocused more of their marketing on cross-selling and risk management of currentcustomers. Direct Marketing Services revenue was $27 million down 1%compared to the third quarter of 2006. The operating margin for U.S ConsumerInformation Services was 39.8% down from the adjusted operating margin in thethird quarter of '06 at 40.7%. This reflects continued to focused investment in newproducts and technology to support future revenue growth and expenses relatedto the conversion of Bank of America to our Interconnect Enabling Technologyplatform. North America Commercial Solutions revenue was $16.7million, up 45% from the third quarter of '06. U.S Commercial Transactionvolume was $1.2 million, up 28% from Q3 2006 primarily driven by growth fromour ten largest customers. Transaction based revenue in the U.S Commercial business nowrepresents over 63% of total commercial revenue in the U.S. In October of 2006 we acquired Austin-Tetra to add acritical strategic technology to our commercial business. Beginning in thefourth quarter this year, year-over-year growth in this business will includeAustin-Tetra in both the prior year and current year periods and reportedgrowth will likely be in the teens. In North America Personal Solutions revenue grew 19% to$38.6 million. Operating margin was 26.9% for the quarter compared to 48.1% forthe same period in 2006, which benefit from a litigation settlement in ourfavor. Excluding that settlement adjusted operating margins in Q3'06 was 20.4%. The increase in adjusted operating margin reflects a shift tomore efficient marketing channels and leverage from increasing scale in thebusiness. Our international business grew revenue by 17% in thequarter to $122.9 million. Canada Consumer revenue was $28.2 million, up 14% inU.S dollars and 6% in local currency. Europe delivered revenue of $47.6 million, up 20% in U.Sdollars and 11% in local currency, and Latin American grew revenue 16% in U.Sdollars to $47.1 million in local currency Latin American revenue growth was 9%. TALX delivered $70.4 million in revenue representing thefirst full quarter since the acquisition closed on May 15th. This revenue wasup 7% when compared to the same period in 2006 as an independent company. The Work Number delivered revenue of $29.1 million, up 14%for the quarter. Total records in the Work Number database grew to 158.9million, up 20.6 million or 15% from the same period in 2006. Transaction volume for the Work Number was $3.6 million forthe quarter, up 22% from the third quarter of 2006. And the Tax and TalentManagement Services segment delivered $41.3 million in revenue during thequarter. TALX operating margin was 14.2%, adjusting for incrementalamortization from the acquisition of TALX, the adjusted operating margin willbe approximately 28%. Like Equifax generally, this TALX is a high margin,strong cash flow business. For the corporation as a whole, operating income was $129.2million, up 7%. EBITDA, a non-GAAP measure defined as operating income beforedepreciation and amortization and adjusted for the net favorable impact ofcertain 2006 litigation matters was $168.1 million, up 24% for the quarter. Operating margin was 26.2% in the quarter. On a non-GAAPbasis excluding the impact of our TALX acquisition in 2007 and the 2006litigation matters mentioned previously operating margin was 28.2% in 2007compared to 29.3% in the third quarter of 2006. The difference reflects increased cost of litigation andincreased investment in marketing and technology infrastructure to supportfuture revenue growth. We repurchased 11.1 million shares during the quarterfor $441.6 million. We have now repurchased $621 million against our $700million post acquisition share repurchase program. Outstanding debt was $1.4 billion, up from $504 million atthe end of 2006. Reflecting the acquisition and subsequent share repurchase. Insummary, a solid performance across a diverse set of businesses all of whichare providing critical, high value information based decisioning tools to ourcustomers. Now let me turn it back to Rick.
Rick Smith: Thanks, Lee. As I mentioned at the beginning, this strongperformance in the quarter is really attributed to the diversity of ourbusinesses, our broad based end market mix, our high value-added product offerings,a lot of the strategic initiatives that we have launched like NPI and pricing.I am really proud the way this leadership team has stepped up and we lookforward to sharing more successes in the coming quarters. As many of you know we are hosting an Investor Conferencethis Friday at the New York Stock Exchange. There we will in New York clearlyfor you. The strategic vision and an update from last year and some greatprogress the team has made on some of the commitments we discussed in 2006 and wehope we can see many of you there. Operator, I would now like to open up forquestions.
Operator: (Operator Instructions) Our first question comes from theline of Kyle Evans of Stevens. Please go ahead.
Kyle Evans - Stevens: Hi. Good morning, Rick and Lee.
Rick Smith: Hi, Kyle.
Kyle Evans - Stevens: Could you help us quantify corporate total exposure tomortgage and maybe dig down a little bit within the C. I. S. Canada and worknumber businesses?
Rick Smith: We see a, traditionally talked, Kyle, and did inflows on anyone-quarter as different products and geographies grow. But we talk in range of10% to 15%, in terms of excluding TALX now. For the third quarter for the corefull Equifax business it's about 12%, total exposure to the mortgage market,that's through our concluding TALX. And then the TALX, business, if you take the work number onthe tax business and than put it all together and look at the exposure theyhave in mortgage it's about the same kind of range. So, 12 to 13% the TALX.
Kyle Evans - Stevens: Okay. Thank you. On TALX, could we dig down a little bitthere? A nice record addition quarter there at 6 million but the backlog fellto 8 million. What are some of the initiatives that that you have place to getthat backlog juiced backed up?
Rick Smith: It's good news Kyle. Great backlog down in that’s good,which is, here's the process. One of the client, a customer agrees to provideus the data it sits in what we call backlog. The longer it sets in backlog thelonger it takes for the longer it sets in backlog, the longer it takes for meto monetize that actually have verify fires come and access that data. So, we have been sitting at 10 plus million for quitesometime. Bill and his team have done a fantastic job in getting that down toeight million. You should think about as it comes down that's good news becausemy fires now have more data in the database for which they can access and payme.
Kyle Evans - Stevens: It does not impair your ability to continue putting up 6million records a quarter going forward?
Rick Smith: No.
Lee Andrean: Kyle, I would note, Bill can field has long said about 3million records is quarter is a reasonable target. I think the 6.6 millionreflects the positives of accelerating some of the backlog can drive revenueand still hire the trend at record decisions.
Rick Smith: Does that make sense, Kyle.
Kyle Evans - Stevens: It does actually. On the verifications side of the worknumber business are you starting to see revenue cross selling, through largersales force?
Rick Smith: We actually, we'll talk to you on Friday, I assume you willbe in New York, dozens of clients a who have crossed sold generatingsignificant revenue. I mentioned before you will see it on Friday and so asBill and Dan, far more bullish today than we were at the time of theacquisition. There is great synergy here and you will see it on Friday. We willgive you specifics.
Kyle Evans - Stevens: Thank. I will be there on Friday. And one last question, theinternational growth was very strong in the quarter and as I look out in 2008could you help me think about how sustainable common currency growth, rightaround the double-digit market is for the international businesses?
Lee Andrean: Yeah, exclude the currency and look on local currency. Thething we are doing in Latin America of new product transfers from other partsof the world to Latin America, pricing initiatives in Canada, value basedpricing in the U.K., Marketing Services in the U.K., new leadership in Iberia,which is bringing our new decisioning platforms to Iberia. A lot of those initiatives are just gaining traction. Rudyhas only been at this now for 10 months so I'm, and you will see it we will layit out for you in the three-year plan. The long-term growth for internationalover the next three years is at 9% to 11%.
Kyle Evans - Stevens: Great. Thanks. I will get back in queue.
Rick Smith: Thanks, Kyle.
Operator: Thank you. Our next question comes from the line of MarkBacurin of Robert W. Baird.
Mark Bacurin - Robert W. Baird: Good morning everyone.
Rick Smith: Hi, Mark.
Mark Bacurin - Robert W. Baird: A couple questions. I guess first on TALX overall revenue up7%. I know you said the work number was up like 14, so that would imply thatthe tax and talent piece, but that was for the, was quite a bit weaker. Can youcomment on what's going on there? I know that was the less strategic part ofthe acquisition when you made it. Are you deemphasizing revenues there?
Rick Smith: Absolutely not. I will have Lee jump in and give you someflavor there. It's a story within a story and I will come back and give yousome thoughts on why I am bullish on that going forward.
Lee Adrean: The work number was up 14%, the combination of tax andtalent management this quarter was up 4% versus a year ago. Actually lastquarter that same comparison was up 1%; the tax business gets slowed down inthe year and the talent management business, which had peaked in the thirdquarter of last year dropped off with the slowing from TSA, which people mayrecall if they had fold TALX in the past. Both of those businesses are moving positively, the taxbusiness is has recovered very nicely and is strengthening its growth rate andthe talent management business also each quarter for the last three quartershas grown sequentially and is positioned for a stronger fourth quarter, which Ithink Rick may want to…
Rick Smith: Yes, one more point, Mark, that the non-work numberperformance was really dragged down in the third quarter due to the Panbusiness. It had a very difficult as we said year-over-year comparison in thethird quarter. The tax business performed very well in the third quarter.And back to Pan, the good news is they are not paid alluded but, they based ona very large corporate account in the third quarter, which further diversifiestheir revenue stream away from the TSA and will give them significant revenuelist in the fourth quarter and beyond. So, the story there is very good.
Mark Bacurin - Robert W. Baird: Good. Rick, I’m going to ask about the internationalpartnerships. You told us I think six months ago it would be about six monthsfor Mexico or China or India. Maybe you are holding it for Friday but I didn'thear you mentioned in the commentary, so just curious?
Rick Smith: Yes, I talked about Peru, Mark.
Mark Bacurin - Robert W. Baird: Peru wasn't one of the original four.
Rick Smith: You’re right, yes, good memory, here more, I do want to savethat for Friday. There's some exciting things going on and we will announcethat on Friday.
Mark Bacurin - Robert W. Baird: Very good. And then just also was curious, any list thisquarter from advantage core starting to see a few little things we got fromretailers are no experience it time, one retailer, are you getting revenue listfrom advantage at point?
Rick Smith: Yes, we have solid performance, we have -- I think we mayshow you some stuff on Friday specifically but we have little top 20 bank soeither using it or testing it, telecos are using it or testing with hundreds ofclients right now either using it and or testing it so we are doing thanexpected it to do.
Mark Bacurin - Robert W. Baird: Great. And then just one final one for Lee, for the lastseveral quarters the consumer -- U.S. consumer business has been putting up midsingle-digit growth, which I was actually surprised seeing what's going on inthe credit markets and this quarter we finally did see growth tail off to beingup just a modest 1%. As you looking out now are we starting to hit some toughercomps? Was there anything specific in the quarter that drove that, we finallysaw that revenue slow down relative to what I would have thought would havehappened a couple of quarters ago at least?
Rick Smith: No, I don't think there's anything in particular, I thinkyou are reading in the papers every day it is not just a tough mortgage marketbut the banks are being a little more cautious on their general consumer creditmarketing focusing more on their current customers and doing a little bit lessnew marketing and that caused the pull back from the first and second quartergrowth rates. There's nothing particular in the comparables this year tolast year either in the third quarter or in the fourth quarter. And we areobviously working very hard with our customers. We think we've got solutions that help them address theircurrent needs and are carrying those out active with the customers but nothingparticular in year-over-year comps, just a little bit more pull back in thethird quarter compared to the second quarter in new marketing.
Mark Bacurin - Robert W. Baird: And Mark, Rick, one last thought, this may or may not havebeen a part of your question but as we look at what's happened in the U.S.credit markets in general U.S. consumer. And again as Lee said we are readingit every day in the papers we see the data every day here at Equifax, obviouslythose trends in behaviors and headwinds. And we've taken into consideration as we have given youupdated guidance for the first quarter and for the year.
Rick Smith: Very good, thank you.
Mark Bacurin - Robert W. Baird: Thank you.
Operator: Thank you. And our next question comes from the line ofAndrew Jeffrey with Robinson Humphrey. Please go ahead.
Andrew Jeffrey - Robinson Humphrey: Hi good morning.
Rick Smith: Hi Andrew.
Andrew Jeffrey - Robinson Humphrey: Rick, can you talk a little bit about what you think sort ofthe intrinsic operating leverage is in the U.S. consumer information businessyou’ve been investing pretty heavily and you've this -- you’ve conversion itsway to little bit in the second half. As you look out longer-term shipped youall us be gone up relatively normal credit environment. Is this a business that we shall think about as having somepretty good operating leverage at some point?
Rick Smith: The answer is yes, but it is not just to be a transition andits not just NPI as well, as we mentioned. We are investing in coreinfrastructure technologies, service customers to a higher standard ofavailability, which is important to them. It's a high fixed cost business, right? By and large andwhen the business is growing you get significant lift or operating leverage asyou call it and when the business slows as it has done this quarter you tend toget some obviously some margin compression. But it's a wonderful business. It's a great franchise. It throws off a lot of cash. It's abusiness that will get through this U.S. economic downturn and once again notonly grow but gives us the leverage and margin we are expecting.
Andrew Jeffrey - Robinson Humphrey: Okay. So it sounds like operating leverage is going to be atleast at the margin predicated on reacceleration and growth. To that end youobviously had a good teleco quarter for reasons I think most people understanda more challenge, FI quarter. Any indication that we’re normalizing in terms of financialinstitution volumes or bottoming in financial institution volumes? How shouldwe think about this demand environment here as far as stabilization versus thepotential for any worsening?
Rick Smith: I will leave you with this thought here, is that the we haveseen in the early part of October versus what we saw in September use the termI think normalizing, a stabilizing affect in U.S. financial sector, it has notsignificantly improved nor has it deteriorated. So we've seen stabilization from September through Octoberat this juncture. Again it's important I continue to underscore that view withour guidance. We went into this with our eyes wide-open clearly analyzed trendsby every business unit as we posted and updated our guidance for you.
Andrew Jeffrey - Robinson Humphrey: Okay. And thank you.
Rick Smith: Thank you.
Operator: Thank you. And our next question comes from the line of FredSearby with JPMorgan. Please go ahead.
Frederick Searby - JPMorgan: Yes, thank you. Kind of a follow up but in terms of theprescreen business and credit card marketing prospecting with the historic downmarket strategy that we are clearly not seeing right now. Can you just give us your thoughts on what the banks aresaying and when they are going to have confidence to go out and sort of pickthat up? And then secondly just to clarify something, you took down yourguidance for revenues for low into the range at 19%. It was almost symbolic.I'm wondering if it stabilized September, October, what have you specificallyseen that maybe you do that so far into the quarter in October? Thank you.
Lee Adrean: Sure. Thanks, Brett. As far as the banks and maybe theattitude of the banks on acquiring new customers versus managing portfoliosversus cross-selling products to their existing clients, it has he been flowedover the quarter, Fred. From a more inquisitive tone if you will at the early partof the quarter to more of a stop, manage the credit risk within a portfolio,almost a bit of a paralysis as we exit the third quarter from the FI'sthemselves, but I would say I'd categorize now is really looking at way andby-products the most managed and understand the current risk trends within ourportfolio, look at ways to cross-sell other products to existing clients. But the actual acquisition, trying to go out into themarketplace and find new customers has slowed. And Lee had mentioned earlierwhat that 3% work with CMS. That's a direct reflection of their attitude, whichis, let's manage the risk in the portfolio, let's cross over the currentcustomers we are comfortable with and let's slow down the acquisition of newclients. As far as the revenue growth we will give you range, back inJune of 19% to 22% and just looking at the overall environment and all thegreat things, by the way we tend to focus on the U.S. economy but there's somegreat things going on I hope you are seeing within the U.S. commercial threestar, international. When I put it together, Lee and I look at the most likelyscenario for the balance of the year with feel comfortable that business willdeliver at approximately 19% revenue growth.
Frederick Searby - JPMorgan: Okay. If I could follow up with one question, you mentionadvantage score, I think you said you had eight out of the 20 largest bankstesting or using it. I think you had any large banks or customers, are theyactually replacing the FICO score or are they just using it in tandem andtesting it?
Lee Adrean: In most cases right now, they are using it in tandem withFICO. I've been pretty consistent when I talked about this. I think over timethey get comfortable with advantage score they will replace with FICO with thisscore. Let's not forget this also use generic scores, they havetheir own scores as well. So I see it as an augment what they will do withgeneric scores generated in-house and replace FICO over time.
Frederick Searby - JPMorgan: Okay, great. Thanks guys.
Operator: Thank you. Your next question comes from the line of MichaelMeltz with Bear Stearns. Please go ahead.
Michael Meltz - Bear Stearns: Thank you. I think I have three questions. Lee, can youisolate for us what was the TALX impact in the quarter and TALX dilution in thequarter?
Lee Adrean: Actually I have not calculated that precisely. It's more orless in line with our expectations, which would have been in the $0.02 to$0.03.
Michael Meltz - Bear Stearns: Okay. Can you tell us, your guidance for the year you gaveus adjusted cash EPS guidance, has there anything changed on your GAAPguidance? I think it was $0.29 of non-cash amortization?
Lee Adrean: To be honest, Michael, we manage to the adjusted cash EPSfigure and I literally haven't done the calculation. I don't think that theamortization has changed meaningfully its up it might be up a penny as we'vedone our final allocation of purchase price. We had slightly higher amortizableintangibles and a slightly shorter life. So the effective amortization in centsper share might be a penny higher.
Michael Meltz - Bear Stearns: Okay. In the U.K., I still struggling to understand howconsumer credit volumes grew 27% and I think a tougher lending environment thanwe have here in the U.S. What's going on there driving that, because certainlythat's kind of a record performance for your business?
Lee Adrean: Thank you. There is a continuation of some things we put inmotion, Michael, a couple of years ago which is new leadership, new salesprograms, new product introduction, value based pricing. And let's not forget we are a number two player in thatmarketplace. We are always looking for ways to differentiate our offeringversus the number one player there and the team is doing just that. And its truly pretty broad based. It is not any onecustomer, not any one vertical. And we talked to you about the government program,I. D. verification, which we launched a couple of years ago. That particularprogram continues to is strengthen as well. So it true is broad-basedperformance.
Michael Meltz - Bear Stearns: Okay. And Lee, you had made a comment about CMS and I thinkyou said quarter-to-date and you talked about prospecting down 15%. Were youtalking about Q4 or were you just referring to Q3 that way?
Lee Adrean: I'm sorry, that was the Q3 result for the quarter, thirdquarter.
Michael Meltz - Bear Stearns: Okay. Thank you for your time.
Lee Adrean: Thanks, Michael.
Operator: Thank you. And our next question comes from the line ofDhruv Chopra with Morgan Stanley. Please go ahead.
Dhruv Chopra - Morgan Stanley: Yes. Good morning, gentlemen. I had a question on the grossmargins they were, obviously very sharply up sequentially and sort of lookingback I think the strongest since the fourth quarter of '03. Can you give us asense on what's going on and what's driving that and is that sustainable?
Lee Adrean: I'm sorry, Dhruv, the question were the GMs were up?
Dhruv Chopra - Morgan Stanley: Up to about 60%, which was up sequentially and probably thehighest since fourth quarter of '03. Can you just provide a little color onwhat happened in the quarter?
Lee Adrean: You know, I think some of that may reflect the addition ofTALX. Keep in mind the work number GMs are extremely high and that helps drive,that may be helping drive the mix. I don't think a fundamental changes withinthe traditional Equifax businesses other than the gross margin at our personalsolutions business is probably also expanding nicely.
Dhruv Chopra - Morgan Stanley: Okay. Great. And then a quick question, there's been a lot ofpress currently around credit freezes and one sensitive view and other totallydifferent view. What are you seeing in the environment? Are you literally goingto have to go down and sort of individual rules for 50 states or have you beensuccessful in trying to come out with a national standard?
Lee Adrean: Dhruv, we are ready bring you to Washington in order to besuccessful at the Federal level logistic. Today, no we have not beensuccessful. Right now there are 39 states I believe that have local state laws.Some other mirror the laws the other states have enacted and there are 11 whoare currently undecided at this juncture. So we are currently operating withinthat framework and it's not an issue for us. We will find a way to deliver tothe local states needs. But our preference sure as heck would be to have aFederal preemption and have one standard.
Dhruv Chopra - Morgan Stanley: Sure. In terms of financial commitments, we went through thewhole factor a couple of years ago, that I guess is now known as a regulatoryrecovery fee, would that basically go towards funding some of the costs thatyou would have to incur?
Lee Andrean: Yeah, I don't think the costs would be significant at all.There may be some involved and won't materially change the financials. We willprice the product in the marketplace to cover whatever investment we have tomake, Drew and I think the most important thing is to date the states that youhave had file freeze as a legislative offering the take up rate is deminimis,so I don't see it as being significant.
Dhruv Chopra - Morgan Stanley: Great and just quick final question on Latin America I thinkyou mentioned five out of the six countries strong double-digit growth. If Irecall that's been the case and I believe its Brazil that's lagging a littlebit. Is that correct? And if so, what are the steps apart from new countrymanagement that you are taking out there to get that.
Rick Smith: Good memory, Drew, it is Brazil. We put a new leader inthere about nine months ago who is making good progress. We are winning in alot of places. We are winning in marketing services. We are winning in thenon-FI, the corporate accounts. We are winning in the large banks and smallbanks with marketing services. It's just that we, that Serasa is a good competitor, theirview of value based pricing is different than ours. They've been veryaggressive in some of those sectors. Having said all that I'm convinced we areon the right path, number one. Number two, Rudy who runs our international team and I werejust down in Brazil and we met with most of the major banks, and theencouraging news that's out there, Drew, is that with the sale of Serasa bythese banks, these large Brazilian banks to Experian, these banks are nowinterested in providing us with their negative data. So that will enhance fairly significantly the database forwhich we can operate and offer value to the Brazilian client. So the landscapeI think will change favorably for us going forward and that's before we eventalk about the advent of positive data, which is on the horizon as well for2008 in our belief.
Dhruv Chopra - Morgan Stanley: Thank you.
Rick Smith: Thank you.
Operator: Thank you. And our next question comes from the line ofAndrew Ripper with Merrill Lynch. Please go ahead.
Andrew Ripper - Merrill Lynch: Good morning, gentlemen. Just a question on U.S. consumerinformation and then I have another one to make, how big a drag was themortgage business on the consumer information side? I think you mentioned thatit was about 13% of sales for that business.
Lee Adrean: I think we mentioned and also that the mortgage business wasdown in third quarter versus third quarter versus third quarter 2006 3%.
Andrew Ripper - Merrill Lynch: But within U.S. consumer information through mortgage sales,you said you got all of your mortgage incorporated with the mortgage solutions,isn't the consumer information side affected by mortgage related enclosure aswell.
Rick Smith: Our mortgage revenue, there's the part we record on mortgagereporting, which is where we sell directly to lenders. There is also some otherstreams that are mortgage related. They are a little harder for us to have preciselybut we do estimate those every period. In total the complete set of mortgagerevenues as well as we can estimate it in U.S. consumer was probably down about5% and that's a base of about $50 million a quarter.
Andrew Ripper - Merrill Lynch: Okay.
Rick Smith: So a slightly larger effect in the mortgage reporting linealone but comparable overall kind of percentage effect 5% instead of 3%.
Andrew Ripper - Merrill Lynch: Okay. And did that sort of change over in the course of thequarter? And if September was weaker than July and August have you extrapolatedthe rates of contraction in terms of pitching your full year guidance?
Rick Smith: Please state that again. There was a lot of noise in thebackground.
Andrew Ripper - Merrill Lynch: Just saying I presume the mortgage business deterioratedover the course of the quarter so I was asking have you extrapolatedSeptember's rate of contraction in terms of pitching your full year guidance?
Lee Adrean: We did.
Rick Smith: Yes. And the other thing is we did the numbers. We launchedthe ESS product similarly the compression in the mortgage arena will continue.The good news is that our ESS Business, the Equifax Settlement Services isgaining nice traction for us helping off put some of the compression.
Andrew Ripper - Merrill Lynch: The Banker’s Association statistics suggest that originationwas down 25% for the quarter and obviously your numbers compare very well withthat. Are you sort of saying that that's down for the settlement servicesproducts or are you sort of performing better than the origination statisticswould suggest even if you take the other fact out.
Lee Adrean: Let me see if I can answer it this way. We don't expect themortgage market to improve in the fourth quarter that's the heart of yourquestion, now earnings guidance. We don't expect that 25% year-over-yeardecline to improve in the fourth quarter.
Andrew Ripper - Merrill Lynch: And just finally, that wasn't the heart of my question butjust trying to understand why I'm looking at Mortgage Banker Association startsaying down 25% for the quarter, you are reporting minus three for mortgagesolutions or setting you down 5% on the course of the consumer side. Is there any other thing I should be aware of apart from thenew supplement services product that’s enabling you to do so much better thanthe origination numbers would suggest?
Rick Smith: I would say there were a couple things. We've traditionallylooked at and reported our businesses outperforming the market number one.Number two is we did make this year some small affiliate acquisitions,relatively small but they will help and third, ESS is again gaining traction.
Andrew Ripper - Merrill Lynch: Okay. Thanks for your answers.
Rick Smith: Sure.
Operator: Thank you. Our next question comes from the line of KevaneWong with JMP Securities. Please go ahead.
Kevane Wong -- JMP Securities: Hi. Good morning, guys. Few things. First could you give alittle more detail on the Peru Credit Bureau acquisition?
Rick Smith: Yeah, it was, we are number one in Peru and it's a goodmarket for us, we've been there for a number of years and we acquired numbertwo player in Peru. Nice little tuck in acquisition, fits right with ourstrategy, little integration required. Peru is not a big market for us so it’snot going to be a significant revenue end hasn’t, but significantly it makessense?
Kevane Wong -- JMP Securities: Actually, give anything as far as revenues due to pricing.
Rick Smith: Say once more.
Kevane Wong -- JMP Securities: Revenues or pricing metrics, can you give us a littlefinancial numbers?
Rick Smith: It’s in the single digits in millions in terms of revenues,so it’s small.
Kevane Wong -- JMP Securities: Okay. And second, also, if you look at TALX one of theinitiatives they had was with providing verifications services when they don’thave the information on their own database. Can you give us information on howmuch that’s progressing, how much that’s adding on numbers?
Rick Smith: It is some you are referring to TALX, you referring to thinfiles or find it?
Kevane Wong -- JMP Securities: I think, it would be find it where people are calling andsaying, hey, I need this things verified and if TALX has it they will do it andif they don't have it they will search around.
Rick Smith: Great. Just a part of your question, they are doing a greatjob, we’ve got a full time merger in there now, running fine also full timegetting a good infrastructure in place. We had a couple of big wins. In fact if you will be at the conference on Friday, pullBill aside, he may say in his presentation, if not pull Bill aside and he willgive you some specifics. They had some nice wins in the find it in the quarter.Simply said, good progress, real good progress.
Kevane Wong -- JMP Securities: And then lastly, curious if you can give information as faras are you getting a particular risk scoring increase, that’s what helping? So,last quarter one of your competitors really had strong growth with risk scoringproducts and I was curious if you were seeing that sort of factor continuingthis quarter, I don't know if it's quantifiable or just for the data?
Rick Smith: So, One of the things, I'm not sure if it’s answers yourquestion or not, one of the things I mentioned early on in my discussion wasthe accelerated rate of growth of scores in general, the number of scores thatwill actually sell in with our data is growing nicely. So, if that's what you're referring to, yes, risk scoring isa big part of our strategy as you know tenants and it's growing at significantrates.
Kevane Wong -- JMP Securities: Are you predicting a lot of people in portfolios that aresort of running their text a lot more often than they have been because ofwhere things are in the credit market?
Rick Smith: Yeah and we talk about it on the CMS side, they shift fromacquisition strategies to really understanding the risk aspects of theirportfolios. So that's exactly what's happening now and that's going stronghaving that's strong double-digit growth. It's the biggest piece of CMS.
Kevane Wong -- JMP Securities: Okay, thank you.
Rick Smith: Thank you.
Operator: Thank you and our next question comes from the line of JamieBrain Wood (ph) with UBS. Please go ahead.
Jamie Brain Wood - UBS: Good morning. I just have a question. I think you talkedabout volume growth of around 5% in your U.S. Online Consumer InformationSolutions. As far as looking back over the long-term history of this businessand I'm really talking about going back literally the last 15 years, can youactually remember a period of time where that volume growth has gone intonegative territory?
Rick Smith: In fact, I’m not sure if we met when I was over in Londonwith you or not. But we've talked historically we've done an analysis in theU.S. all the way back to 1991 and it never, from 91 through 2000, now thirdquarter 2006, through 2006 has there been a year where there's beenyear-on-year negative volume and as you know there's been a lot of differenteconomic cycles over that time frame.
Jamie Brain Wood - UBS: So what do you think it takes to push that volume growthinto negative territory just in terms of trying to assess the down side riskshere?
Rick Smith: I hope we never have to experience it, what it takes. Idon't know. There's no easy answer. The impression is a significant recession,is it oil $200 a barrel, employment at 10%? You can draw Armageddon in your ownview. But I think the point we continue to try to make is it is aresilient business. It is a business that has been wonderful for 107 years,huge cash flow, but it's only 50% of our business. We continue to diversifyours, we continue to diversify ourselves into products, geographies, marketsthat are less dependent on the U.S. economy I think we've done that.
Jamie Brain Wood - UBS: Again, just looking back to say 2001 where basically yousort of saw significant boost to your credit report volume in terms ofreduction in interest rates cross the U.S. economy. To what extent, how muchmore does the Fed need to relax before that kind of impact starts to the filterthrough into your business?
Rick Smith: I can't project that. I think right now if I had to give youmy true sense and this is only Rick Smiths view, I'm not a economist
Jamie Brain Wood - UBS: Sure.
Rick Smith: We see the trends of behavior of the U.S. consumerroutinely, I think what's plainly playing in the consumers benefit is a highemployment rate that gives the U.S. consumer good confidence. We do a survey on a quarterly basis of a couple hundredthousand, 100,000 consumers in the U.S. and right now even though there's acredit crunch, there's housing declines, there is home equity decline, the U.S.consumer by and large and I will show this on Friday in New York, buy and largestill feels pretty good and that's driven by high employment. If that changes,I'd be concerned.
Jamie Brain Wood - UBS: My other questions have been answered. Thanks very much.
Rick Smith: Thank you.
Operator: Thank you. And our next question comes from the line ofBruce Simpson from William Blair. Please go ahead.
Bruce Simpson - William Blair: Hi, guys. Question about peso. And then about commercial, sowith personal solutions it seems you really have a good success in building thesubscriber rates. And where are those subscribers coming from? Are you takingaway from your competitors or are they new people that have never described toprocesses like that before? And then how big do you think that business can be?I think you mentioned that you are up to about 1.4 million subs. What's arealistic number over the next couple of years?
Rick Smith: Yeah. Good question, Bruce. In general, it's difficult forus to say exact where would they are coming from, competition versus new customers.But the team has done an unbelievably good job on improving the effectivenessof their advertising, to attract new clients. We have completely revamped theentire website. So that the -- once we'd get them to come to our website, theirability to navigate to get to a product, to get to an education site, is fargreater, easier than it has been in the past. Our retention of clients is better, so they are reallyhitting on all cylinders there. We talked last year about trying to get thisbusiness to about 70% to 75% subscription. As you recall, it wasn't that longago it was the inverse of that, we were about 25% or 30% to subscription ofbalanced transaction. And we reversed that, so I'm comfortable with the rangewhere we -- I think it was 71% right now for the third quarter, 71% to 75% isprobably where you are going to balance out as far as the mix. And then Steve's challenge is to continuing to out there andfind new customers to continue to come to his site and by his products. I'vetalked about this business of being a 20% plus margin business and growingmid-teens, so that's how I see it growing in the future.
Bruce Simpson - William Blair: And what's the balance between individuals that you'vereached out to on a directly consumer basis, versus cluster that is you gotthrough. Any kind of a third party relationship with a financial sponsor?
Rick Smith: Good question again. It is mostly a direct to consumer.
Bruce Simpson - William Blair: Predominantly, like 75% or better or?
Rick Smith: Mostly, I don't know. It's 60% to 75%.
Bruce Simpson - William Blair: Okay. And then just very quickly on the commercial business,I think Lee made some comments, that now would you lap heading into the fourthquarter, it's probably kind of a teen's level grower. And can you update yourthoughts about the size of the opportunity here, now that you are at kind of a$65 million earner? Also are you talking business away from D&B or arepeople paying for your product that have never had this service before?
Rick Smith: Yeah. It certainly is the first question part of yourquestion first. I love this business, and I'm as bullish today as I was when wetalked in New York City when we first spiked it out. And the fact that I askedin top of year-over-year, that's a one-quarter issue. We buy someone else nextyear, and then you have another brand will change the growth rates again. It'sa solid business, it's value added. No one else has the consumer data, smallbusiness exchange; we are rapidly expanding the files. I told you, I'd like to build this thing over the next threeto five years about $300 million globally, and I talked about this business inthe U.S. being $150 million or $200 million over that time frame as well. I'mas convinced today as I was last year, that's the path we are on. And MichaelShannon, who leads that business, will tell you his story when he sees you inNew York on Friday. As far as where we, taking the business, yeah, we aretaking the business from Dun & Bradstreet by and large because they are thepredominant player in the U.S.
Bruce Simpson - William Blair: Thank you.
Lee Adrean: You're welcome.
Operator: Thank you. And our last question comes from the line of MattOtis with KBW. Please go ahead.
Matt Otis - KBW: Good morning, gentlemen.
Lee Adrean: Good morning.
Matt Otis - KBW: I just have a couple of quick last ones. First, just goingback to mortgage reporting, is there any way you can break out what componentSettlement Services, how much it actually rings up there?
Lee Adrean: At this time Matt, we don't break that out.
Matt Otis - KBW: Okay. Any possibility for future break out if it getsmaterial enough?
Lee Adrean: Yeah, I think if it's material enough we may consider that.I think what you will see is Dan Adams, if you are going to be there FridayTALX a lot about ESS. And where it's going, some big wins that he has, he willprovide texture for it. I noticed, I think, Tom Madison is doing a heck of a job inmortgage in a tough mortgage environment. We are lucky we launch this productlast year. It's making a difference. It's solving problems for the mortgageindustry. It's helping to short-tern offset the compression, but whenthe mortgage market does turn and take back up these things poised tosignificant growth.
Matt Otis - KBW: All right. Great. And any color on how your marketingcampaign went? Yes. I think you had the Credit Watch Gold marketing campaign,just any color on how that progressed?
Lee Adrean: This was the Direct TV?
Matt Otis - KBW: Yes.
Lee Adrean: Great memory, we are still evaluating it to make sure itactually gives us, what we call the return on marketing alarm versus othermeans of advertising. So it's still being evaluated at this juncture.
Matt Otis - KBW: Okay. And just last question, going in a historicalperspective the transition from new customer acquisition to kind of customermanagement, any thoughts on how long that period can last? You talked a little bit about a paralysis on there. Anythoughts on how long it can last between just new customers slowing down andthen the lenders realizing they need to pick it up on the customer managementside?
Lee Adrean: It's tough for me really to project that. It depends onmacro economic issues as you might guess, but I don't expect it to obviouslymaterially change in the fourth quarter, probably even in the first quarter orfirst half of next year. But again that was factored into my guidance for the fourthquarter. And again it's a good thing we are diverse series of revenue streamsin this country because the New York market has slowed, as you know.
Matt Otis - KBW: Thank you.
Lee Adrean: Thank you.
Rick Smith: Thank you.
Jeff Dodge: Okay. With that, operator, we will conclude the call. Weappreciate everybody's participation and we will be available this afternoon ifthere are any additional questions. Thanks.
Operator: Ladies and gentlemen, this does conclude your conference fortoday. Thank you for your participation and for using AT&T executiveteleconference. You may now disconnect.